Operator: Good day, ladies and gentlemen, and welcome to the first quarter of 2009 CF Industries results conference call. My name is Stacy and I will be your conference moderator for today. (Operator Instructions). I would now like to turn the presentation over to your host for today's call, Mr. Charles Nekvasil, Director of Public and Investor Relations, please proceed.
Charles A. Nekvasil: Well, thank you, Stacy. Good morning and thanks for joining us on this conference call for CF Industries Holdings, Inc. I'm Chuck Nekvasil, Director of Public and Investor Relations, and with me are Steve Wilson, our Chairman and Chief Executive Officer, and Tony Nocchiero, our Senior Vice President and Chief Financial Officer. Yesterday afternoon, CF Industries Holdings, Inc. reported its first quarter 2009 results. The purpose of today's conference call is to discuss our financial proponents of the quarter, as well as our outlook for the upcoming spring season. As you're aware, CF Industries is engaged in a proposed business combination with Terra Industries, Inc. and has received an exchange offer from Agrium, Inc. All three companies have thoroughly communicated their positions on these transactions via news releases and various filings, including the release we issued following our annual meeting of shareholders this Tuesday. We've also been on the road extensively during these last few weeks discussing the proposed transactions with investors. We remain totally committed to our proposed combination with Terra Industries, viewing it as a compelling combination with a number of strategic benefits to shareholders of both companies. However, for today's conference call we will limit our comments and your questions to our financial performance and prospects. As you read our news release, posted on the Investor Relations section of our website, at www.cfindustries.com, and as you listen to this conference call, please recognize that both contain forward-looking statements within the meeting of federal securities laws. All statements in the release and oral statements on this call or other discussions, other than those relating to historic information or current condition, are considered forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control, and which could cause actually results to differ materially from such statements. These risks and uncertainties include those spelled out in the Safe Harbor statement included in the news release. Consider all forward-looking statements in light of those and other risks and uncertainties and do not place undue reliance on any forward-looking statements. Now, let me introduce Steve Wilson, our Chairman and Chief Executive Officer.
Stephen R. Wilson: Thanks, Chuck, and thank you all for joining us this morning. Yesterday afternoon, CF Industries reported first quarter 2009 earnings. For the quarter, net earnings totaled $62.7 million or $1.28 per diluted share, a 61% decrease from the $158.8 million or $2.76 per diluted share in the first quarter of 2008. Results for the quarter include the affects market-to-market gains on our natural gas derivatives, a write-down on potash inventory, expenses related to ongoing M&A activity and period costs related to lower plant operating rates. The first quarter sets a stage for a spring planting season that typically begins in earnest during the second quarter throughout much of the U.S. Corn Belt. Earnings were lower than those in the year earlier quarter, but both our net sales and volumes were up for the quarter, a positive sign at this point in the year. In the news release, I talked about CF Industries' ability to react quickly to changing market conditions and I believe our actions in our phosphate business illustrate that well. Early in the quarter, we anticipated a sluggish domestic market, especially for phosphate, so we decided to take advantage of our ability to move product offshore. We were able to leverage our Keytrade partnership to increase phosphate exports significantly above planned levels, selling to customers in Brazil and India, as well as to new markets for us, such as Vietnam. I believe this demonstrates our ability to be nimble in the face of changing market conditions. We achieved significantly higher phosphate sales than in last year's first quarter and we did it in a way that helped relieve pressure on our domestic inventories. I'm proud of this performance and of the employees at CF Industries and at Keytrade who helped achieve it. Looking at the forces that drove first quarter performance in the North American fertilizer industry, it's clear that unusually high inventory levels throughout the domestic supply chain presented a challenge. You all know the story, wet weather in the spring of 2008 delayed planting. That in turn led to a late harvest and a limited window to complete fall fieldwork and fertilizer application. Lousy fall weather added to the problem, ultimately creating high inventories throughout the supply chain. Further complicating matters were delays in customer purchasing decisions, as many buyers tried to find a market bottom in a falling wholesale price environment. A lot of customers continued to take a wait and see approach before making spring fertilizer commitments. Despite this challenging environment, we performed very well. In our nitrogen fertilizer segment, net sales increased by 4% year-over-year to $456 million due to higher average selling prices for ammonia and UAN. Total sales volume was flat compared to the year earlier quarter at 1.3 million tons, but volumes for both ammonia and urea increased compared to the year earlier quarter. Volume for UAN solutions, on the other hand, was down 26% compared to the first quarter of 2008. As the spring planting season gets into full swing, UAN inventories in the supply chain should decline, providing opportunities for substantial UAN movement to our customers. In phosphate, net sales were down 2% compared to the first quarter of 2008. Our aggressive exports, up 131% compared to last year's first quarter, yielded a 12% phosphate volume increase, but even that substantial improvement could not offset the lower average selling price for DAP. We responded to low early first quarter demand by reducing operating rates and moving up plant maintenance activities at our manufacturing operations. Since then, we have increased production rates in preparation for the spring planting season. We have positioned product throughout our in-market distribution network to insure that we can meet demands as the weather turns and fieldwork intensifies. Some of our carryover inventory, especially ammonia and DAP, will move at very attractive prices booked last spring and fall under our FPP, with positive margin implications. To summarize then, we achieved good first quarter results in a tough environment, capitalizing on our strength at moving product into export markets. Now, let me introduce Tony Nocchiero, our Chief Financial Officer, who will provide some detail on the quarter.
Anthony J. Nocchiero: Thank you, Steve, and good morning everyone. During the quarter, CF Industries adopted Statement of Financial Accounting Standards, Number 160. The Standard requires that earnings available to non-controlling interest, formally referred to as Minority Interest and included as an expense to arrive at pre-tax earnings, now be subtracted from consolidated net earnings to arrive at net earnings attributable to common stockholders. The new requirement has been applied to prior year results for comparative purposes. Adoption of the new Standard will impact the company's effective tax rate as reported in our quarterly and annual filings. Because earnings attributable to non-controlling interest will no longer be subtracted to arrive at pre-tax earnings, our reported effective tax rates will generally decrease due to the increase in earnings. Now I'll highlight some quarter-on-quarter comparisons for you. Net sales increased by 2% to nearly $681 million, up from $667 million in last year's first quarter. Volume totaled 1.8 million tons, up 3% from last year's first quarter. Nitrogen segment volume was 1.3 million tons, flat with the 2008 first quarter. Phosphate segment volume was 527,000 tons, up 12% from 470,000 tons in last year's quarter. Phosphate volume in domestic markets fell by 13%, but, as Steve pointed out, we were able to more than offset that decline with a 131% increase in phosphate exports. We sold 42% of our nitrogen under our forward pricing program in the first quarter, compared to 75% in last year's first quarter. In phosphate, we sold 26% of our volume under the FPP, compared to 69% in the 2008 first quarter. Average selling prices for our products were mixed compared to last year's first quarter. In nitrogen, prices for ammonia and UAN were higher than in 2008's first quarter, but selling prices for urea were down. In phosphate, selling prices for DAP were 15% lower, while MAP prices were essentially flat. On a sequential quarter basis, prices for all products were lower than in 2008's fourth quarter. Gross margin in nitrogen was $169.4 million, 14% lower than the $197.5 million in the 2008 first quarter. Nitrogen gross margin was impacted by lower average selling prices for urea and a higher realized natural gas cost in the inventory sold. As we reported, the nitrogen gross margin included $48.6 million in non-cash, pre-tax unrealized gains from mark-to-market adjustment on natural gas derivatives. Last year's first quarter included $69.6 million in such gains. Gross margin in phosphate was a negative $7.1 million, down from a positive $73.7 million in last year's quarter. Phosphate gross margin was negatively affected by a potash inventory write-downs of $24.3 million, or $0.30 per diluted share on an after tax basis. As expected, selling prices fell further below our acquisition cost. There were no inventory write-downs in 2008's first quarter. Segment gross margin on DAP and MAP was $18.5 million, while potash gross margin, reflecting the write-downs, was negative $25.6 million for the quarter. Our first quarter 2008 natural gas prices exceeded spot referenced levels at Henry Hub and [AKO] as a result of locking in favorable margins under our FPP during a period of relatively high natural gas prices. As you may know, we have the ability under our natural gas policy to purchase natural gas beyond the amount required to fill nitrogen FPP orders. We have begun to take advantage of recent low natural gas prices by locking in more than 2.1/MMbtu of natural gas in excess of FPP order requirements at an average price of $3.57/MMbtu. Most of this gas is expected to be consumed in the second quarter. We have additional authority to make further opportunistic purchases if current attractive pricing levels prevail. SG&A expenses of $15 million declined 15% due to lower incentive and long-term stock-based compensation costs, as well as lower corporate office expenses. Other operating expenses increased to $23 million, $16 million of which are costs primarily associated with our proposed business combination with Terra Industries and with the company's evaluation of and response to Agrium, Incorporated's proposed acquisition of CF Industries. In addition, we have project development costs that totaled $4 million related to the company's proposed nitrogen complex in Peru. These items represented $0.25 per diluted share on an after tax basis. There were no comparable items in the year earlier quarter. Cash flow from operations totaled $292 million, down slightly from $297 million in last year's first quarter. Looking at our liquidity and financial position as of March 31, 2009, the company's cash, cash equivalents and short-term investments totaled $839 million. The company also held investments in auction rate securities valued at $168 million. This is down from $178 million at year-end as a result of $3.2 million in redemption debt par during the first quarter, as well as an increase in our evaluation reserve. Including auction rate securities, the total cash in short-term investments are $1 billion, compared to investments in cash, cash equivalents and auction rate securities of $803 million at December 31, 2008. The auction rate securities remain illiquid. CF Industries has approximately $229 million of available credit under its revolving credit facility. We had no borrowings outstanding under the facility. Earlier this week, we reported that the Board of Directors declared the regular quarterly dividend of $0.10 per diluted common share, payable June 1, 2009, to shareholders of record May 14, 2009. So, despite a challenging North American fertilizer market, we delivered solid sales and volumes for the first quarter. We remain financially strong and well positioned to both meet expected robust spring demand and further advance the company's growth initiatives. Steve.
Stephen R. Wilson: Thanks, Tony. Providing the weather cooperates, fertilizer demand for this spring has the potential to be strong, especially for nitrogen. Robust projected corn acreage has certainly set the table for a good spring and we could also benefit if farmers try to make up for last fall's poor fertilizer application conditions. In the U.S., demand for corn is excellent, with prices in crop economics remaining quite good. According to the U.S.D.A.'s recent prospective plantings report, farmers plan to plant 85 million acres of corn this spring, down just slightly from 2008. At CF Industries, we expect corn acreage to meet or exceed last year's 86 million acres. In either case, planted corn acreage would represent one of the three largest corn crops in the United States since 1949. This outlook makes us increasingly optimistic about spring nitrogen demand, especially in the Corn Belt. In fact, in March, we began experiencing promising levels of ammonia product movement and, through this past Wednesday, year-to-date ammonia shipments were almost 70% ahead of last year's admittedly weak levels. Weather permitting, we expect this movement to increase as planting shifts into high gear. Crop economics also justify the application of phosphate and potash on corn this spring. As a result, we anticipate the phosphate demand at the farm level will strengthen as spring planting ramps up, even though the pricing stalemate between domestic distributors and farmers continues. Of course, producers may not see the benefit until downstream inventory is worked down. While we don't expect phosphate selling prices to return anywhere near the highs experienced in mid-2008. Today's phosphate input costs are significantly lower. As a result margins are attractive by historical standards. Input costs for nitrogen have also continued to fall well below peak 2008 levels, with positive margins implications. Our fixed price forward order book was 1.3 million tons at the end of the first quarter, including 1.2 million tons under our FPP with nitrogen presenting the vast majority of that total. More than 40% of that 1.3 million tons was priced in the spring and fall of 2008 at average levels that are quite attractive compared to prices realized in the first quarter of 2009. FPP volumes for the remainder of this year are substantially below the total at this point last year. In part this is due to market conditions and the wait and see customer mentality I discussed earlier, but it is also result of pricing discipline we've demonstrated in the market. We have been unwilling book significant levels of FPP business at margins we find unattractive. So looking ahead we are well positioned for a strong spring. With inventory staged at our nearly 40 terminals and warehouses to supply customers with fertilizer required to achieve those yields. Longer term, the fundamentals driving demand for our products remain solidly in place. The underlying demand for coarse grains around the world, and demand for bio-fuels in the U.S. will continue to require higher crop yields, resulting in long term growth for our industry. We are pleased with our progress in our proposed nitrogen complex in Peru. The capital cost trends associated with this project continue to work in our favor. We have commenced a detailed front end engineering and design study and have begun drilling core samples at our proposed plant site, to evaluate its geotechnical characteristics. We anticipate signing a natural gas contract for the proposed facility during the second quarter, and completing the feed study by year end. Before we take your questions I will mention that in March, Business Week magazine recognized CF Industries by including us in the Business Week 50, noting that we achieved the second best financial performance of all companies in the Standard and Poor's 500 Index over a 36-month period. The ranking tracked growth, return on capital and other metrics. As the only member of our sector included in this ranking, we are proud of this recognition and believe it validates our ability to execute our strategy, to operate effectively in a dynamic market, and to deliver value to our shareholders. With that we will open the call to your questions. [Stacy], will you please explain the Q&A procedures?
Operator: (Operator Instructions). Your first question comes from David Silver – UBS.
David Silver – UBS: I had a question. I guess my first question would be about your comments about your expectations for a robust corn planting season. And I guess some of it is weather, some of it might be that wait and see attitude, Steve, that you referenced earlier in your prepared remarks. But if we look at the latest weekly planting progress report, I mean, I guess Illinois corn is 1% – was 1% planted last week versus a 23% average for the last five years before that. And I guess when your people look at what is going on in the field, when do you think we hit that crossover point where maybe 85 million or 86 million acres of corn won't get planted this year and it might spill over into soybeans or other crops?
Stephen R. Wilson: Well, if I were a meteorologist I could tell you that. Looking out the window here to the west we can see sunshine, at least for about four or five miles, and we are expecting a really nice weekend in this part of country. It's really a function of weather, and I will remind you, David, that there is a capability in the system in the Corn Belt, to plant a lot of corn quickly. There is an ability in the state of Illinois to plant the whole crop in 10 days, if there was a 10 day window available to us. So, at this point in time I really can't tell whether we are going to get that great sweet spot. It doesn't take obviously a single string of good weather. It takes pockets of good weather in various places around the Corn Belt. And so we remain optimistic but I certainly can see that we are behind the trend line.
David Silver – UBS: Okay, thanks. And then if I could just ask about, I guess your average selling prices that you were able to realize this period. So if we were to just stick with ammonia you guys had a price in excess of $500 a short ton that you were able to realize this period. And I don't know your friends at Terra put up a number much lower at $335 or so. So when your people look at how you're positioning your business versus, I don't know, the newsletter averages or Terra or somebody else, how do you break that down that surplus? In other words, how much of it was unusually favorable FPP business booked several months ago? How much of it is CF able to utilize the distribution system or other factors? How do you look at that very significant outperformance this quarter versus your peers, or industry benchmarks?
Stephen R. Wilson: Well, David its obviously all the above. I'll just provided one little piece of detail here, because I think we've shared this with you before. When you split out from our ammonia sales what goes to our joint venture partner at Medicine Hat who's by Terra. Our average ammonia price actually was $583. So, that just reinforces the point that you're making. We have a lot of FPP business sitting in that result. But also in general, we like the direct application ammonia business. It is a very good business. We have a strong position with our distribution system to be able to capitalize on the spread that exists between [golf] values for ammonia, and in market values. That's a point that we made on a regular basis with investors. We have some industrial business in there. Actually, if we looked only at the ag business the price would be even higher than what I just quoted. I understand clearly the advantages of having industrial business in the mix. It provides ratability in production. And so we like having some of that business too. So everybody's got their own niches, if you will, and we are very, very pleased to have the position that we have with in direct application ammonia. We think it's a great business to be in.
David Silver – UBS : Okay and then one question for Tony. This has to do with accounting for the feed expenses related to Peru. So I think you guys have estimated approximately, I don't know, $35 million, $40 million of total cost to complete the feed study. And I know in this quarter $4 million of it went through the income statement approximately. So, should we expect all that $40 million to run through the income statement this year or is some of that capitalized? How should we think about the size of that expense and the income statement effect?
Anthony J. Nocchiero: The number is closer to $20 to $30 million, David, and yes we'd expect to run through the P&L and just about all of it will run through this year.
Operator: Your next question comes from Robert Koort – Goldman Sachs.
Robert Koort – Goldman Sachs: Can you talk a little bit about use of your cash on hand? It seems like that's going to a pretty healthy level, what do you plan to do with that cash?
Stephen R. Wilson: I'm going to ask Tony to address that, not that I can't do it but he's more than capable of it.
Anthony J. Nocchiero: Well, we look at our cash position relative to our needs all the time. We take this holistically and we take it from a strategic perspective. Obviously we need to consider a number of things. First of all what we thing our cash requirements are going to be for the strategic opportunities we have in front of us. You know some of those are available to the public because they are well developed and we disclose them and talk about them on call like this. Others are in process and haven't been revealed to the public as yet. And then of course we always have to consider the amount of reserve cash we are going to be needing to get the company through a downturn. We also look at obviously our available leverage and we've had the wonderful problem of making a lot of money and not really had an opportunity to add leverage to the balance sheet but we certainly will do that because we understand equity investors require leverage to get optimal returns. I guess I would just remind you that in that context of looking at our cash strategically back in November, we did do a 500 million share buyback. We didn't just flash a number and then not do the buyback, we announced 500 million and then we did the trade at about $59 a share for 8.5 million shares in 10 to 12 trading days. So you know we look at this all the time and when the time is right, we do the right thing.
Stephen R. Wilson: And obviously at a very high level our given the state of the general economy this is a good problem to have.
Robert Koort – Goldman Sachs: Okay, and can you help me try and get into the dealer mindset here as we go through this season assuming we get that 85 million acres of corn and they move out and clear out their bins, do you see any different buying behavior this summer given some of the trauma that was created for pre-buying last summer and trying to get rid of that product in the fall and spring? What can be different as we go into the sort of the summer and fall selling season this year domestically?
Stephen R. Wilson: Well, Bob, as I look at our own FPP book at this stage we've got far less in the pipeline than we had a year ago, and as I mentioned in my remarks, some of that is being driven by on the customer side; some of it driven on our side. Given what happened last year with the quickly changing prices and a lot of people felt that they had to get on board to keep from paying even higher prices, I think there was a lot of reluctance on the part of customers to make commitments in advance so I think we're tending more in the direction of the shorter term in the spot market rather than extended commitments.
Operator:
Mark W. Connelly – Sterne Agee: Steve, just two questions, both of them pretty simple but mostly about how you're thinking about things, as you start to ramp up phosphate production again, knowing that the supply chain is still not quite where our would like it to be, how are you thinking about that balance? You know a year ago it was pretty clear that the supply chain backed up much faster than the industry understood, and so how are you managing that risk that we end up putting too much into the chain again, and the farmers disappoint us?
Stephen R. Wilson: Our focus in phosphate I think is fairly clear I hope in our release and the comments that I made and that is that we are attempting to be nimble. We are producing to what we expect to be the demand, whether it be domestic or export demand. The fact that we had Keytrade out there as our eyes and ears around the world is a real big plus for us, because they can identify pockets of demand that frankly a couple of years ago we would have never been able to find. We're certainly in close contact with our domestic customers. We have long term relationships with several very large customers and so we know what their demand patterns are likely to be and we adjust our customer mix accordingly, and that's all what drives our production planning. In other words we are producing for expected demand. That's what drives us.
Mark W. Connelly – Sterne Agee: Did, on that point, two questions on the export business, and then I'm finished, the export margin that you're seeing on the business you picked up, is that comparable to your domestic? And the second questions is do you anticipate maintaining longer term the higher levels of exports that you are doing now?
Stephen R. Wilson: Okay, with respect to the margins we believe the margins are comparable to what's available domestically of course when demand dries up in one place versus the other there's not a whole lot to compare to, but we believe that the margins we're achieving in the export market is comparable to what we achieved domestically. With respect to our mix going forward, we don't have an objective with respect to mix, other than to say we have, as I noted, a number of long standing relationships with domestic customers. Those are strong relationships that they will continue into the future and we will work together to try to make sure that we have mutual commitments going forward. We also like having relationships on the export side, but we have to be realistic and know that a certain amount of this business is got to be done on an opportunistic basis by nature.
Operator: Your next question comes from Paul D'Amico – TD Newcrest.
Paul D'Amico – TD Newcrest: Wanted to ask you, you're mentioning terms of a good spring and what not going forward, wanted to know what your conviction is at this point would you expect sustainability of the higher operating rates that you've gotten now in nitrogen phosphate into the fall period? You must have some conviction one way of the other as to whether or not it's still a wait and see or that you believe it's going to hold, first question.
Stephen R. Wilson: Well, if we look at nitrogen, first of all – I'm going to go back a bit, if we look at fertilizer year, the fertilizer year that we're in now, it's clear that in nitrogen for the fertilizer year, the demand is going to be off something like a mid single digits in North America. The fact is through the first quarter, the first calendar quarter, demand was off a lot more than that so that in order to get to that fertilizer year number of mid-single digit decline we would have a very strong spring. So I think most players in the industry at all levels in the chain are aiming to take their stocks down to the floor come the end of June. That's certainly the way we plan our business, and I'm sure that's the way many others plan. So the question clearly then is what's the anticipated fall demand and then into the spring of next year? You know we believe the fundamentals are strong. We see less imports have come into the system and so that helps our situation a bit. But a lot of what's going to happen in the fall is going to be a function of what happens this spring, and whether we get the strong corn acreage, and then we have sustainability of that going forward whether we come in less than the predicted corn acreage and that [creates] more demand for next year. There are a lot of moving parts. Just like I commented in phosphate, we manage our nitrogen production to meet anticipated demand, and we stay very close to our customers in order to be able to do that effectively.
Paul D'Amico – TD Newcrest: Okay, and I don't know Steve this question will be for you or maybe even for Tony and what I'm trying to do is with respect to the FPP I don't know how far back history goes for that business or whether it existed pre your 2005 IPO, but I'm looking for some context with respect to the 0.9 million tons as of April 21 or whatnot that you mentioned in the press release. So I'm just curious when was it previously at that level for the month of April and the current level what would be the split be between N and P or is it inconsequential?
Stephen R. Wilson: Actually, the historical numbers are available and we can get those for you, they were all made public but I believe that our position at the end of the first quarter is the second lowest it's been since we started the program. We started the program in 2003 and it kind of ramped up that year and hit its stride in 2004. So it's a relatively short history.
Anthony J. Nocchiero: We can get the history for you if you'd like. Just give Chuck or me a call and we'll take you through it.
Paul D'Amico – TD Newcrest: Okay, don't know if you know off hand though, you said second lowest, so when was the lowest point?
Stephen R. Wilson: I don't know that off the top of my head, Paul.
Paul D'Amico – TD Newcrest: No problem, thanks.
Operator: Your next question comes from Jeffrey Zekauskas – JP Morgan.
Jeffrey Zekauskas – JP Morgan: In terms of your 527,000 tons of phosphates sold what was the split between export and domestic in the quarter?
Stephen R. Wilson: I think we have that in the release. Just give me one second, Jeff. Oh here we go; I've got it right here. 340,000 tons domestic, 187 export. And so the 131% increase is off of an 81,000 ton export base last year.
Jeffrey Zekauskas – JP Morgan: Okay and I think one of the previous questioners was poking around the issue of how much under the FPP program will come through in phosphate tonnage going forward. You know, it may be a way to ask that is do you expect your phosphate tons under the FPP program in the current quarter to be somewhat less than they were in the first quarter?
Stephen R. Wilson: Oh, the preponderance of our FPP book is nitrogen.
Jeffrey Zekauskas – JP Morgan: Yes.
Stephen R. Wilson: There isn't a significant amount of phosphate available to come through.
Jeffrey Zekauskas – JP Morgan: Right, and in terms of the export markets right now in phosphate, are there still opportunities or do you think some of that is going to be on hold while prices stabilize?
Stephen R. Wilson: Well, we have found opportunities, for example, in April we sent a cargo to the Ivory Coast and that's been publicized I think in the industry publications. We have a presence now in about 60 countries around the world and so Keytrade brings us individual opportunities on a regular basis. I really don't know what the future brings but we're happy to have that flow coming to us.
Jeffrey Zekauskas – JP Morgan: And I take it you're happy with your sulfur realizations?
Stephen R. Wilson: We are happy with what is rolling off and with what is rolling in to our mix.
Operator: Your next question comes from Steve Byrne – Merrill Lynch & Company.
Steve Byrne – Merrill Lynch & Company: Hey Tony, help me out here on a couple gas questions. You indicate you have locked in 26% of the quarter or roughly three weeks worth of gas and you just mentioned you went net long 2 MMBtu which is roughly another week isn't it, something like that?
Anthony J. Nocchiero: That is not a huge volume. That's right.
Steve Byrne – Merrill Lynch & Company: Okay, so at the end of March would you not have already locked in April gas purchases, because even these don't seem to add up to even a month?
Anthony J. Nocchiero: Well, remember that the gas purchases that are locked in in the FPP inventory, were locked in, a lot of them last summer when we were taking significant FPP orders.
Steve Byrne – Merrill Lynch & Company: Okay, but you don't include in that metric what you would just normally buy for a month during the bid week of the prior month. You don't include any of that in there?
Anthony J. Nocchiero: In which metric?
Steve Byrne – Merrill Lynch & Company: When you say there's 26% of the quarter's gas purchases are already locked in?
Anthony J. Nocchiero: Right, we include just the stuff that is associated with the FPP programs.
Steve Byrne – Merrill Lynch & Company: Okay, all right. So, your position here is you're much more exposed to spot gas, well I guess you're starting to lock some of that in. Your FPP is also very light, is this just an intentional move to gain more exposure to spot pricing in the market on the nitrogen side in anticipation of rising prices this spring. Is that part of the philosophy behind this relatively low FPP position?
Anthony J. Nocchiero: Well, Steve did make a comment on that during the course of the call. Obviously, the first point to note is that falling gas prices for nitrogen were just a wonderful thing. So we do want to take advantage of that to the extent that we possibly can. As Steve pointed out in a falling price environment for products, customers are more reluctant to lock in forward prices because they don't know where the bottom is. In addition to that, we practice a lot of discipline around the prices and volumes we put out on the forward curve and they're based on our assessment of what we think the future's going to look like. So, to the extent that we have a pretty buoyant expectation for the future, as Steve talked about this spring, we might have higher expectations in our customers and you wouldn't have transactions cross. So, it's a little bit of our judgment and our discipline around pricing those volumes and a little bit I'm sure of customers who are looking the bottom and therefore are reluctant to lock in.
Steve Byrne – Merrill Lynch & Company: And Steve, you mentioned –
Anthony J. Nocchiero: I'm saying that the position that we're in right now vis-à-vis gas is very attractive with gas prices coming down.
Steve Byrne – Merrill Lynch & Company: One of the factors, Steve, you mentioned earlier, was reduced imports. Do you think that we could reach that point in the spring where the demand is sufficiently strong and supplies tighten because of less imports that we see rise in prices yet this spring?
Stephen R. Wilson: Well, it's a phenomenon that we'd love to see happen but we think that those kinds of conditions are frequently predicted and rarely realized. I think that the marketplace is pretty efficient. Farmers find a way to get their product in and the logistics system at the end of the day provides it. So, we have heard the arguments for that. They are somewhat logical, on the other hand they never seem to happen. So we don't plan for it.
Steve Byrne – Merrill Lynch & Company: Okay, and just last one on potash, is that a business that you expect to continue it?
Stephen R. Wilson: Well, we'll certainly continue in it until we sell the product that we have today. It's been an expensive lesson for us frankly. We think the concept is a solid concept and that is that being able to provide our domestic customers with all three nutrients through our dry product warehouses makes sense from a strategic standpoint, but we will be much more careful in the future on the execution side, should we choose to do so.
Operator: Your next question comes from Michael Piken – Cleveland Research.
Michael Piken – Cleveland Research Company: Good morning. Have a couple of questions for you guys. The first one was just respect to kind of your volumes and the levels you reported on nitrogen versus the results from Terra earlier this week and then on phosphate you reported 12% increase. I realize some of that is international, particularly on the phosphate side but could you talk about why you guys were able to capture some much market share? Was it a function of pricing? Was it a function of finding kind of these unique smaller deals off-shore, just any color on that would be appreciated?
Stephen R. Wilson: Well, obviously I can't provide you any color on why someone other than us might have done better or worse. I think if you do look at relative prices however, you will find that our prices are quite attractive and so I don't think we quote "bought market share" unquote. I think in a lot of what happened was being able to move quickly to either take advantage of opportunities or in some cases make opportunities in the marketplace. We moved a lot of urea in the northern tier of our market area and I think if you look at the margins that we generated in nitrogen, all things being considered there they were quite attractive.
Michael Piken – Cleveland Research Company: Okay great, then my second question is just you know regarding your nitrogen mix sort of as we go forward I mean it looks like it's kind of across the board. UAN sales were down more year over year where as ammonia and urea sort of perform well and it sounds like from your prepared remarks that we might start to see those UAN volumes start to level out. I mean if you're sort of thinking about the whole year in terms of where your mix might end up would you expect to see UAN sales start to catch up or do you think that we're going to see more of a shift toward ammonia and urea and besides is it predominantly an economic decision that's driving the farmer decisions or is there something else applied?
Stephen R. Wilson: Well with respect to the disparity in UAN movement versus ammonia and urea in the year-over-year comparison it's pretty clear that we – there was really no downstream space for UAN in which to move product in the first quarter. Unfortunately product for spring movement was staged because a lot of it didn't move last year and so we, yes. We think that the situation is set up pretty well for good UAN movement. It's not a product that moves to the field early in the season. It's normally ammonia moves early and UAN moves later. So the harder the UAN season is ahead of us and we have high expectations for it.
Operator: Your next question comes from Mike Judd – Greenwich Consultants.
Michael Judd – Greenwich Consultants: Just a couple of quick things that you mentioned that you thought the tax rate would be a little higher for the rest of the year? What was that rate that you're anticipating please?
Stephen R. Wilson: No actually we said under the new standard we expect the tax rate to be relatively lower and it's about 33%.
Michael Judd – Greenwich Consultants: Okay, thanks a lot, and then just lastly I understand with what's going on in terms of the negotiations that are taking place with the other two companies that your other expense line has been a little higher. I got on the call a little late so I apologize if you already addressed this issue, but did you have forecasted run rate for the June quarter for that number?
Stephen R. Wilson: No. We don't disclose numbers like that. I guess the only thing I'd say is with respect to the deal expenses we did disclose in the proxy that those expenses could run up to $60 million relating to the tariff transaction.
Operator: Your next question comes from Don Carson – UBS.
Don Carson – UBS: Good morning just a question on some of the key trade activities. Have you done any analysis showing whether you're better off with Keytrade marketing or export phosphate versus what you were doing under – as a member of PhosChem? And is it your sense that some have sort of suggested maybe these opportunistic sales are I guess aggressive exports as you call them in what is, frankly, a sloppy market or kind of driving down the price just what would your response be to that?
Stephen R. Wilson: Sure. First of all our experience in PhosChem was a short one. I think it was only about a year. So we made the move to Keytrade as part of making the investment in Keytrade and we think it was a great thing for us to do. We are able then because of our size and frankly Keytrade's extensive network of contacts were able to identify pockets of demand and move quantities that for us are significant quantities and perhaps for PhosChem wouldn't be so significant so we're – I think we're a key player in some of those markets. In terms of the realizations that we get we're absolutely comfortable with the prices at which our products move and I think they compare quite favorably to others in the industry.
Don Carson – UBS: And then just a follow-up one. Potash, you, in response to a previous question you had indicated that while the execution wasn't well you still liked the strategy of having a complete range of nutrients for your customers. I'm just wondering why you would find it attractive to be sort in a distribution business subject to the inherent volatilities of inventory swings or do you think you can come up with the right sourcing and forward sales strategy to mitigate that risk?
Stephen R. Wilson: Well we have the assets in place and we have the relationships with customers in [NNP] that support the same sort of business in potash. But clearly that side of the business can get overwhelmed if we don't make the right commercial decisions and so that's why I made the comment about execution. The execution obviously depends on being able to sell the product for more than the price you acquired it at and that will be our focus should we do this again.
Don Carson – UBS: And one final question, you talked about your outlook for nitrogen this crop year being down maybe single digits. What's your similar guesstimate for what might happen to phosphate in the domestic market?
Stephen R. Wilson: Well I mean if we look at what most people have viewed as the fertilizer year pattern in phosphate it's in the range of 20% down. And if you do the math through I think it's probably end of February or March it suggests that phosphate demand should probably be roughly flat with a year ago in order to end up at about 20% down for the year. So it's not a robust situation but it may not be – it's probably not as bleak as recent experience has shown.
Operator: Your next question comes from Bill Young – ChemSpeak.
Bill Young – ChemSpeak: What's your intermediate to longer term outlook for phosphate supply demand and do you think – when can pricing, say, move back toward some levels achieved earlier last year?
Stephen R. Wilson: Well, I think if I were to try to guess when prices will get back to where they were mid-last year I would say what happened last year was a once in a lifetime confluence of events that's unlikely to happen in the future. If it were to happen it'd be wonderful but also I think the result of it would like be the same result and that is that high prices destroy demand and it leads to exacerbated cycles which are probably not healthy in the long run. In terms of the near to intermediate outlook in phosphate it's probably more likely to be determined by the actions of China than by demand patterns because I think that the demand should be there as Brazil comes back and other markets become more normal including our own market in North America. I think a lot of it is a function of supply.
Bill Young – ChemSpeak: How much supply do you see coming on in some of the projects we're hearing about in, say, Africa or the Middle East, India, that kind of thing?
Stephen R. Wilson: Well you know the big project coming on is the Saudi project which is scheduled to come on now probably in 2012. It's about almost three million tons of DAP and MAP. Between now and then there are some smaller projects, probably not big enough to move the needle in terms of the global pricing structure.
Operator: Your next question is a follow-up question from Robert Koort – Goldman Sachs.
[Korsus Karasanos] – Goldman Sachs: I am doing well, doing well, a couple of quick questions on potash. Can you please remind us how much did you buy and how much do you have left to sell?
Stephen R. Wilson: We purchased 164,000 tons.
Anthony J. Nocchiero: And the second the answer to the second question is most of it.
[Korsus Karasanos] – Goldman Sachs: So, most of it? Okay. And [inaudible] what kind of price…
Stephen R. Wilson: No product sales have gone through the P&L yet.
[Korsus Karasanos] – Goldman Sachs: Okay. What kind of price did you market your product at now?
Steven R. Wilson: We haven't had significant sales.
Anthony J. Nocchiero: Yes, we haven't – right.
Stephen R. Wilson: We haven't disclosed it. That will be for second quarter.
Anthony J. Nocchiero: Yes, you will see an average price on the product when we start seeing it in quantities that we need to disclose.
[Korsus Karasanos] – Goldman Sachs:
A:
Stephen R. Wilson: We'll be sharing that with you at the end of the second quarter.
[Korsus Karasanos] – Goldman Sachs: And then one final question, how much potash do you believe is on the [river]?
Stephen R. Wilson: I have no idea and I suspect given what I have read about the potash situation, there was a lot of product at various levels in the chain.
Operator: At this time I'd like to turn the call back over to Mr. Chuck Nekvasil for closing remarks.
Charles A. Nekvasil: Well thank you, [Stacy] and since there are no other questions we will conclude this call. We thank all of you for your continued interest in CF industries and we look forward to talking to you in the future. Our next scheduled conference appearance will be at the Bank of Montreal's Agriculture, Protein and Fertilizer Conference in New York on the 14th of May. Look forward to seeing you there and again, thank you for joining us today.
Operator: We thank you for your participation in today's conference. This does conclude your presentation. You may now disconnect and have a great day.